Operator: Ladies and gentlemen, thank you for standing by and welcome to the Endeavour Mining's Q1 2021 Results Conference Call. At this time, all participants are in a listen-only mode. After Management's presentation, there will be a question and answer session.  I will now like to hand the code over to Management. Please, go ahead.
Martino De Ciccio:
Sébastien de Montessus: Thank you, Martino. I'm very excited to share our results for the quarter as it shows the success of the transformation we have executed over the past year and resulted in a more resilient business. We are well-positioned to deliver strong cash flow and organic growth while at the same time, rewarding shareholders through our dividend and buyback programs. You can see a summary of our Q1 results here on Slide 6. We achieved a great outcome in our first quarter, both operationally and financially and we are on track to meet guidance. Production more than doubled versus Q1 2020 due of course to our acquisitions and in particular, the recent successful integration of the Teranga assets. Looking at our per share matrix, our operating cash flow per share is up nearly 50% while the adjusted EPS is up 111%, consistent with our expectations that the transactions would be accretive to our shareholders, while also benefiting from the continued strong gold price environment. Strategically, we are focused on ensuring our shareholders' realized strong returns. As such, we have laid out our first $60 million dividend in January and started during Q2 our buyback program which will run over the year. On Slide 7, you can see some of our key performance indicators for the quarter, we've continued to focus on our safety performance with our ultimate goal of zero arm . On production, we are solidly on track relative to our full year guidance and we will see a full quarter of production at Sabodala Massawa and Wahgnion included in our results in Q2 and we anticipate our run rate to increase for the balance of the year. It's important to note that for Q1, it is only one month and-a-half out of three for the Teranga assets that is consolidated here. Similarly, all-in sustaining costs came in at the bottom half of our target range for the full year. Again, we expect to see the impact of a full quarter from the lower cost Sabodala Massawa operation in Q2 and no further impact from the higher cost Agbaou operation that was sold in March. As such, we are confident in our progress towards a full year target range of $850 to $900 per ounce.
Joanna Pearson: Thanks, Sébastien. On Slide 17, we show a breakdown of our all-in sustaining margin on a nominal and a per-ounce basis. Because of the substantial changes within our portfolio of assets, this tells a more interesting story than on a nominal basis alone. At a group level, we had a strong improvement in our all-in sustaining margin which was up $150 per ounce. For reference, on this page we inserted various explanations for key line items. But overall, the margin was held by a stronger gold price, lower cash cost per ounce and lower sustaining capital. Moving to Slide 18, you can see a breakdown of our free cash flow, beginning with the all-in sustaining margin. As we talked about, the all-in sustaining margin has increased over Q1 2020 by a nominal $220 million to $330 million in Q1 of this year. Similarly, our all-in margin increased by $190 million. This in turn led to a total cash inflow of $154 million during the quarter. The main cash outflows during the quarter were an increase in our working capital, primarily from our acquired businesses. Cash used in financing activities from our discontinued operations for the payment of dividends and taxes prior to the disposition, and increase in taxes paid due to the larger portfolio of operations, and increase spending on growth projects primarily due to the acquisition of the Fetekro license in the quarter. These were offset by cash inflows from financing activities related to the private placement which was completed at the end of the quarter, as well as additional draw-downs on the financing. On Slide 19, we have a waterfall chart which shows how our cash position has evolved during the quarter. Our operations generated around $198 million of net cash while we spent approximately $105 million on our properties and paid $20 million to increase our ownership of Fetekro, while we also added $27 million in cash from the acquisition of Teranga. In the financing column, we received $200 million from La Mancha near the end of the quarter, as well as $47 million in net proceeds from the refinancing of long term debt, offset by the $60 million dividends that we paid in Q1, as well as $50 million paid to settle Teranga's gold offtake liability, We ended the quarter with a net debt of only $162 million despite absorbing approximately $332 million of net debt from Teranga, which corresponds to a leverage ratio of below 0.2x. At current gold prices, we expect to quickly return to a net cash position.
Mark Morcombe: Thank you, Joanna, and hello to everyone on the call. I've just returned from visiting a number of our mines and we will happily trade the 40 degree heat at Sabodala for the current English weather any day. Starting on slide 22, you can see our production bridge which primarily shows the significant positive impact of the rest of the acquired operations, as well as organic improvement at Houndé and Ity. For Boungou in particular, the difference derives from the fact that the pricing stand was idle for a number of months in late 2019 and early 2020, compared to a full quarter of operating in quarter one this year. As you have heard, the last quarter results includes only a month and-a-half of performance from Sabodala Massawa and Wahgnion. Overall, our production has increased by 175,000 ounces, compared to the prior year's quarter. Moving to Slide 23, I will begin the review of our individual mining operations with Sabodala Massawa, which is now our flagship asset. I was at the mine yesterday and can attest to the fact that the team have continued to make great progress on a number of front. Mining in the Sofia pits is continuing with another new PC3000 travel commission during the quarter, so the digging plate is in good shape. The whole road construction to enable us to mine the season and integral bodies is progressing well as our other innovations to the former Baric  exploration camp, which is housing the mining crews for the Massawa pit.
Sébastien de Montessus: Thank you, Mark and Joanna, for your overviews. On Slide 34, we have a summary outlining our key priorities for the year. They are based on our guiding framework to continue building a resilient business that is a trusted partner and reward shareholders properly. We are pleased to be executing against each of these priorities and we'll work hard to continue doing so in the coming months and years. We believe that the resilient business needs to first be underpinned by a high-quality portfolio which after five years of hard work we now have, our priority is now to generate stable cash flows while advancing our organic growth and exploration efforts. Having a high quality portfolio of mines which are profitable and bodes  long mine lives allows us to better-plan for the future. This is a key element of being able to be a trusted partner. Having confidence in knowing that we will have a presence in our communities and host countries for many years to come means that we can invest in building our long term partnerships with employees, communities and governments. We will be hosting a teaching later this month where we look forward to sharing the meaning ESG initiatives going across our business. And finally, having a high quality portfolio with a strong balance sheet underpinned by a social license to operate means that we can reward our shareholders across cycles. It took us five years to get to this stage and we are now proud to have recently initiated our dividend payments. For me this mark the full turnaround of our business. In recent weeks, given the confidence that we have in our business and our cash flow, we started to supplement our dividend with buybacks. We also believe that our shareholders will be rewarded once we complete the process to obtain a premium listing on the LSE. This is expected to drive incremental demand for our shares and therefore be a strong catalyst. As such, we are pleased with the progress made and we remain on track to list on the LSE in mid-June. And finally to conclude on Slide 36, you can see the key upcoming catalysts. In the near term, we will host a capital markets teaching event to familiarize London-based investors and capital market participants with our business ahead of our listing in mid-June. We also anticipate releasing an initial resource estimate on the Afema project, which we recently acquired from Teranga. We will have an exploration date on Sabodala Massawa and we also expect to provide a refreshed five-year exploration strategy as we reach the close of our first five year exploration plane later this year. Finally, in the fourth quarter, we anticipate completing the Phase 1 expansion of Sabodala as well as the DFS for Phase 2 and the DFS Fetekro. So despite the transformation that I talked about at the beginning, we do not stand still. We took great strides in the last 12 months to reposition our business. Today, we can truly say we've built a resilient business. More importantly, we have a clear road map ahead of us to ensure our business remains robust and continues to deliver returns for our shareholders. With that, I'd like to thank you all for dialing in and open the lineup for questions.
Operator: Thank you. Ladies and gentlemen will now begin the question-and-answer session.  The first question comes from the line of Ovais Habib from Scotiabank. Please, go ahead.
Ovais Habib: Thanks, Operator. Congratulations, Sébastien and eEdeavour team for a good quarter and thanks for taking my questions. Just my first question, Sébastien, is on the Teranga assets that you've acquired. Sébastien, Endeavour now has had the Teranga assets for about two months under the Endeavour umbrella. Can you give us some color on how the integration is going with these assets, specially at Sabodala Massawa?
Sébastien de Montessus: Sure. Good morning, Ovais. Well, I would say that since the announcement of the transaction, I've probably been now four times to Massawa -- Sabodala Massawa. Mark who's on the line just came back yesterday, again, from Sabodala Massawa, looking at the progress in particular of the upgrades to the CIL plant -- the back end of the CIL plant for the Phase 1 of the Sabodala Massawa project. And I can say that we are extremely pleased with the progress. We've been saying since the closing that the integration is going extremely smoothly. And and as for guys, very, very well, because the culture of the two companies were very similar at the operating level. So, yes, it's very pleasing to see those assets well-integrated into our portfolio. Mark, maybe you want to -- based on your trip yesterday, you have a comment?
Mark Morcombe: Yes, sure. I guess one thing also to mention, and this was something that we knew about right from the beginning was the incumbent general manager was going to finish this year, so that transition has literally just taken place and we're very confident that it will be a smooth transition. We see lots of really good work done by the Terango team and lots of good opportunities still. I think it's a fantastic asset with a really, really strong team there and everything that I've seen just suggests that there's good opportunities for us to just sort of continue to check the asset forward.
Sébastien de Montessus: Thanks, Mark. I think it's fair to say that one of our strongest GM, Kisto Willtrogen  who was at Houndé, just arrived at Sabadola Massawa. Kisto  has been doing an amazing job at Agbaou and then at Houndé and having him now at Sabadola Massawa will even accelerate the integration of the asset into our portfolio and get the mine site to the same standards and culture that we have in the rest of the organization. So, extremely, extremely pleased by this integration progress.
Ovais Habib: Thanks for the color, Sébastien and Mark. My next question is regarding your pipeline of projects. Sébastien, you've got several projects that are in the fiscal year stage and other projects that you're looking to advance as well. Are there any of these projects that you would consider divesting or maybe bringing in a JV partner to advance those assets while you kind of advance Fetekro and Kalana, those other assets as well?
Sébastien de Montessus: Well, if you look at what we've done in the past, we have all the options available. It's a question of capital allocation for us. I think it's too early to say, decisions that we will be taking for 2022. But obviously, we've got three strong projects, which are progressing well from PFS to DFS with on one side the BIOX plant for Sabadola Massawa, Phase 2, Fetekro in Côte d’Ivoire and in Kalana, in Mali. Clearly, we won't launch three projects at the same time in 2022, so we will make some decisions once we see the numbers and we'll focus on the assets, which are the projects, which are giving the best returns for the company and for our shareholders.
Ovais Habib: Thanks, Sébastien. And just one final question before I jump back in the queue. Are you noticing any inflationary pressures on your current operations or projects that you plan to advance into construction?
Sébastien de Montessus: So, we we have this question, several times over the last few months, which I probably assume is the beginning of the year. I would say that on the core supply, we don't see a significant or important inflation partly due to the fact that we are integrating progressively all the acquired assets -- the SEMAFO ones and the Teranga ones into our supply chain, which in fact gives us even more bargaining power with our suppliers. So, we've been able to across the board either keep the same prices or even reduce some of the prices on cost supplies. We are still monitoring how things will evolve in particular on steel prices and other for our projects. And if we feel at some point that they are risk of seeing a spike in prices, then we might accelerate on TCB  or lock in some prices for our key projects in the future. So, we remain extremely flexible and reactive to ensure that we continue to make the right capital allocation choices and protect our returns.
Ovais Habib: Perfect, Sébastien. That's it for me and congrats again on a great quarter.
Sébastien de Montessus: Thank you very much, Ovais.
Operator: The next question comes from the line of Raj Ray from BMO Capital Markets. Please, go ahead.
Raj Ray: Thank you, Operator. Good afternoon, Sébastien and team. Just a couple of questions. First up on the LSE listing. You've probably been asked this question a thousand times, but you are now closer to the listing being done. So, just wanted to get maybe a sense of your more clarity on whether the S&P  TSX composite inclusion is going to stay that way and the demand you expect from the LSE listing with respect to different indexing? And my second question is with respect to your two of the assets you bought through SEMAFO acquisitions last year, Mana and Boungou. So, can you give us some visibility on the growth aspects, specifically Mana -- is beyond seeing underground, are you looking at Wona underground or any other growth options and Boungou? Was it the exploration of site that you're looking at?
Sébastien de Montessus: Sure. So, maybe on the on the first question, which is something which has popped up a lot over the last few days, and I'll let Martino to complement if required. But first of all, what is clear is that we get confirmation from SNP that they will review the index in September. So, nothing is going to happen before September. As as we probably said several times, we are expecting to be listed some time in June on the LSE and the same way we will be integrated into FTSE  indices in September. Our current views is that we shouldn't be taken out from the S&P GDX indices and at the same time, we should be integrated into the FTSE indices in September. So that's our current views. And I understand that some investors have been worried about that. I can just confirm based on our exchange with TSX and S&P that they are not intending to review those indices before September and that based on the information we currently have, we do not expect some changes as in the indices. Martin, I don't know if you want to add something specific on this?
Martino De Ciccio: The last thing to add would be that where a peculiar situation where we're not Canadian Topco  today, we are already a foreign entity in Canada being came in Topco. So, we're moving from being foreign camen  to foreign UK. So from a Canadian perspective, they're looking at it much more from a liquidity and then where most of the shares are being traded and we expect that to remain on the TSX given we're not issuing equity in the UK.
Sébastien de Montessus: Okay, thanks, Martin. Second question. If you may, if you may just ask again, the second question? I think it was around like...
Martino De Ciccio: In SEMAFO .
Raj Ray: Yes, sure, Sébastien. Mana, what's the growth opportunity beyond seeing underground? Is Wona underground something you're going to look at? And also at Boungou, any exploration upside you're seeing there?
Sébastien de Montessus: Yes, sure. So on that, it's a fair point. We believe that there is potentially a very interesting, Wona underground potential at Mana. In fact, we've been working on on the PFS already, preliminary pre-feasibility study for Wona underground, and we would expect to move that forward over the next few months, so, I wouldn't be surprised if as part of let's say Q3 in September, we're able to disclose a bit more information of around Wona underground. Seems the economics are more attractive than continuing the open pit side, in particular in the north where grade are falling down and therefore cost are being higher. So, quite interested in seeing the Wona underground opportunity to move forward. In parallel, we are obviously aggressively started exploration around Mana. And I'll let maybe Patrick comment a bit on on this as well as Boungou, which is important. There has been very limited exploration done in the past by SEMAFO in Boungbou. We started to to put drilling campaigns there and we will see that accelerating in Q2 and Q4. Patrick, do you want to give a quick feedback on Mana and Boungou?
Patrick Bouisset: Yes. Hi, everybody. Well, actually Mana has been the place where we have been the more aggressive in the fourth quarter. Actually, we have been drilling over 30,000 meter which is quite a lot. Basically, what we are doing, we are checking quite significant number of smaller sized target, but mostly looking at oxide. We are developing former or discovery named Marula , which is a partly to the Southwest with the expedition license and also extending into the exploration license. We are working also on trying and redoing the resource model on Wona to looking at Wona's stuff and we are also conducting quite important exploration in North Saria  for open pit possible target. Also for two underground possibility because we see some shoot going down in that depths. So that's most of it for the first quarter on Mana. In Boungou, due to security, popularity in this area, we are concentrating for the time being all on the mines. So, we've been drilling in between the two pits between west pit and east pit. We are waiting for some result. We are concentrating right now mostly in an area which is at the Northwest which is called Natuwu Northwest  junction between an area called Boungou and  and the west pit. So that's where we are with good results. So basically, we are working on the concentric way in Boungou, going slowly by slowly a bit further out and organizing offset to start to go out of the fence zone; so basically third quarter I can . But as it was said previously Mana and Boungou are one of the two main area where we are willing to concentrate this year because on Boungou and Mana, we should have a higher budget that we have this year on either Ity or Houndé, which looking at the possibility in Houndé and Ity is quite significant performers together with one year at Sabodala also where we are going to increase exploration budget.
Sébastien de Montessus: Thanks, Patrick.
Raj Ray: Thanks a lot, Patrick, and thanks, Sébastien, that's it for me.
Operator: Thank you. Next question comes from the line of Don DeMarco from National Bank. Please, go ahead.
Don DeMarco: Thank you, Operator. Hi, Sébastien and team. So, strong operational quarter, you guys are pulling levers such as the dividend, the NCIB, the London listing and there's talk of Endeavour being positioned to become the new Rangold. Yet Rangold traded at a premium whereas we're seeing a valuation discrepancy between Endeavour and some other peers that have lower free cash flow and fewer development pipeline options. So, my question is, what other leavers do you have to increase your profile or close this valuation gap? Or is it just a matter of time? Interested in your comments? Thank you.
Sébastien de Montessus: Yes, thanks. You're completely right. I think it's also a question of time. If you take, Rangold with Mark Bristow has been on the LSE for 15 years and has been building his reputation and this multiple over years. And it took some years to get where he was. If you take even B2Gold is having sometimes a better multiple than we have and same thing, I think that Clive  has been around for a while in the success of BMR and B2 over the last 10-15 years, again, it takes time to create, I would say that visibility and credibility. And I think we are exactly on that verge. We've just completed this five-year turnaround plan. We are now getting strong cash flow, being able to pull out all the levers that other more mature companies have been doing over the past years with dividends buyback and much more visibility with the London listing, while our peers had already either London listing or New York listing. So I think that, we'll be in a position from June and September to really compete at same level with all those peers that tend to have better valuation than us, which in fact makes us extremely attractive from an entry point for investors. And that's why I would expect this gap to very quickly disappear and hopefully in the years to come, demonstrate that yes, we are the new Rangold.
Don DeMarco: Okay, great. Okay, so you mentioned the NCIB and so on. And I'm looking in terms of capital allocation, you paid out $60 million in dividends in Q1 and what I agreed to is that you bought back about CAD30 million , at least worth of shares in Q2. So, on the NCIB, do you expect that pace to continue that we saw in April? Or what are your thoughts going forward on that you've been pretty active.
Sébastien de Montessus: I think that the you should see the NCIB getting, much more active going forward. We were only active in fact a few days in over the last -- we started in April and it was only a few days that the NCIB kicked in and therefore I would expect much more activity from this quarter and Q3 on the on the NCIB.
Don DeMarco: Okay, great. And maybe just finally. CMDA  noted higher grades at Sabodala Massawa in the latter part of the year. Q1 grade was 2.53 grams per tonne. So what kind of grades should we model in H2? How much higher would they be than 2.53 grams per tonne?
Sébastien de Montessus: Martino, Mark, you want to give some color on H2?
Martino De Ciccio: Sure. So we expect grades to come up to about 2.8 in Q3 and going above three grams in Q4.
Don DeMarco: Okay. Thanks so much, guys. That's all for me.
Sébastien de Montessus: Thank you.
Operator: Thank you. Next question comes from the line of Anita Soni. Please, go ahead.
Anita Soni: Good morning, Sébastien and team. So first off, I just want to comment, thank you for the disclosure that you guys put in your MD&A and financials. It's pretty fulsome and it actually makes sense when I put into my model and I do find that for the senior companies, if you do that, you get a premium multiple, because it's not as much of a black box for investors. But secondly, my two questions, a little bit more big picture since everybody's gone into the nitty-gritty already. So, firstly, could you give us a rundown of the countries you operate in terms of -- an update on the political situation and then security as well? So, Senegal, Burkina Faso, Cote d'Ivoire? And then the second question, just in terms of M&A. Obviously, there's been a transaction in your part of the world and your name along with B2 comes up and maybe potentially interested. I was just wondering if you could give a comment or reiteration on your prior view on M&A, or whatever you feel fit, and I'll leave at that.
Sébastien de Montessus: Sure. No problem. In terms of countries where we operate, Senegal -- I would say Senegal and Côte d’Ivoire are obviously very stable, politically. You probably saw that there was some time in Q1, I think was around March, there was two days of riots in the capital city. But that was mainly a political, I would say, issue where the do you use or trying I mean to protect a potential candidate for the next presidential election who was charged for I think it was rape. And therefore, it created a bit of tensions. After 48 hours, it all cooled down. So we received during that day a lot of calls because people thought the country was going on fire. And I said 'Look, do we have investors calling Apple company or Tesla when there is, riot in Chicago?' And the answer is no. So yes, it happens that sometimes, you have these type of events, but I would say that Senegal and Côte d’Ivoire are extremely stable. In the case of Côte d’Ivoire in particular since the re-election of President Ouattara, which is always good when you have a strong, I would say liberal President, which has been successful so far. Côte d’Ivoire had between 7% to 9% GDP growth over the last five to six years. It's one of the fastest growing country in Africa and having the same president running the country for another five years, I think is going to be very good in terms of stability. Burkina, obviously, we are the largest gold producer also Burkina. It's a key country for us. A bit more tricky on a security standpoint with regular attacks in one particular area of the country, which is the north part of the country and the three-border region -- three border between Mali, Burkina and Côte d’Ivoire. But, as you know, we've been operating in this countries for years. We believe that we have the right relationship with the government and the right protocols with our security team to ensure we are able to protect the assets and the people. Hence the fact that we were comfortable at the time to acquire SEMAFO assets and in particular, the Boungou assets that we successfully restarted back in Q3 last year. So, I would say that from a security standpoint, in Burkina things are not improving, neither worsening. There is a big push right now with the Burkina army being extremely active in the north with the French. And hopefully in the next few weeks, we should see some improvements on that front. That's I would say, the high level, picture on the three countries. In terms of M&A, as you said, I think we've done our share of the job in acquiring the right assets for our portfolio. We need now to continue to integrate those assets successfully. We are on track to deliver the $100 million of annual synergies that we're expecting from those two acquisitions. We're now really focusing on organic growth. We've got amazing projects coming up with Phase 1 and 2 of Sabodala Massawa and then with Fetekro and Kalana. So, we're really going to focus on that and never been interested in the gold ; for example. It's funny to see, I would say, a Latin-American silver company going right into Burkina but let's see. It's going to be interesting to watch. And for other assets unless Clive Johnson wants to sell Fekola, which I don't think he intends to, we don't have any particular interest for external growth.
Anita Soni: Okay, I hadn't even thought about Clive selling Fekola, but yes. Anyway, and then just on the Tesla comment, I think Elon Musk has his own problems this morning with the Bitcoin self-made, I think there. But thank you for answering my questions.
Sébastien de Montessus: No, thank you for your question, and your time.
Operator: Next question comes from the line of Mark Bentley from ShareSoc. Please, go ahead.
Mark Bentley: Hello, Sébastien and team. I have three questions today, if I may. The first one is you paid $47 million to settle a Terango gold offtake agreement. Is that a full and final settlement or are there any further payments due under that agreement?
Sébastien de Montessus: It's full and final.
Mark Bentley: Great, thank you. Second question. You currently have $700 million drawn on the corporate finance facility and $868 million of cash, which seems like an awful lot of cash. Could you just explain the Board's rationale for keeping so much cash whilst still heavily-drawn on that facility?
Sébastien de Montessus: Sure, in fact, we are in the process of the restructuring of the balance sheet. As you might recall, we took up a lot of debt from the Teranga acquisition. As part of that, we had a bridge financing and obviously the objective for us is to replace that bridge financing with more long term, I would say facilities. The right time we believe to do it is once the listing is completed in London and once we have proper rating in order to be able to get the best instruments in place for the restructuring of the balance sheet. In the meantime in Q1, we repaid $100 million on the RCF and shortly after receiving at the end of Q1 the $200 million cash injection from the La Mancha, beginning of Q2, we also repaid another $150 million that you don't see yet on the RCF. So, our objective is to make sure that by Q3, we have much cleaner balance sheet. I fully agree with you. The objective is to keep a huge amount of cash and continue to pay debt and interest on the other side. So, we're really in that in the process.
Mark Bentley: Thanks, Sébastien. That's clear. And then my final question just concerns Boungou. Have there been any security incidents at Boungou over the last quarter or has it all been peaceful?
Sébastien de Montessus: I'm gonna say all peaceful so far at Boungou. Obviously, there have been some incidents, but the closest one was probably around 120 kilometers away from Boungou and nothing to report Boungou on the mine itself. I think that the cooperation also with the government and the unit, which has been allocated to protect the mine side, and also the transport roads is becoming more and more effective. It's ramping up progressively, so we're getting more and more confident and as you know, the first decision we took is not to have any employee on the road between the capital city and in the mine site. So all our staff, are flying in and out. So, yes, so far, obviously it's a day-to-day evolving environment and we are monitoring that, very closely, but so far, happy with what has been put in place.
Mark Bentley: Good. So, if I understand correctly, as the situation improves, you're hoping to broaden your exploration activities beyond the mine site? Is that correct?
Sébastien de Montessus: Yes, that's exactly correct.
Mark Bentley: Good. Thank you very much, Sébastien.
Sébastien de Montessus: Thank you for your time.
Operator: There are no more questions at this time. Please continue.
Martino De Ciccio: As there are no more questions, we'll finish the call. I will of course remain available to address any additional questions offline. Have a good day and stay safe, everyone.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.